Operator: Good morning and welcome to the Rexford Industrial Realty, Inc.'s First Quarter 2025 Earnings Conference Call. All participants are in a listen-only mode. After the speakers' remarks, we will conduct a question and answer session. As a reminder, this conference call is being recorded. I would now like to turn the call over to Mikaela Lynch, Director, Investor Relations and Capital Markets. Please go ahead.
Mikaela Lynch: Thank you, and welcome to Rexford Industrial Realty, Inc.'s first quarter 2025 earnings conference call. In addition to yesterday's earnings release, we posted a supplemental package and earnings presentation in the Investor Relations section on our website to support today's remarks. As a reminder, management's remarks and responses to your questions may contain forward-looking statements as defined by federal securities laws, which are based on certain assumptions and subject to risks and uncertainties outlined in our 10-Ks and other SEC filings. As such, actual results may differ and we assume no obligation to update any forward-looking statements in the future. We'll also discuss non-GAAP financial measures on today's call. Our earnings presentation and supplemental package provide GAAP reconciliation as well as an explanation of why these measures are useful to investors. Joining me today are our Chief Operating Officer, Laura Clark, and Chief Financial Officer, Mike Fitzmorris. Our co-CEOs, Michael Frankel and Howard Schwimmer, will join us for the Q&A session following remarks. It's my pleasure to now introduce Laura Clark. Laura?
Laura Clark: Thank you, Mikaela, and thank you all for joining us today. I'd like to begin by recognizing the Rexford team. Your dedication and strong execution for a first quarter performance position us well to navigate today's heightened macroeconomic uncertainty. Rexford delivered solid first quarter performance in line with expectations. We executed 2.4 million square feet of leases achieving net effective and cash rent spreads of 24% and 15%, respectively. Embedded rent steps in our executed leases averaged 3.6%. Notably, 400,000 square feet of new leasing activity in the quarter was from five repositioning and redevelopment projects. Overall absorption in the quarter was positive 125,000 square feet and renewal activity remains strong. We achieved 82% tenant retention, the highest level over the past year. Market rents across our portfolio declined 2.8% sequentially and 9.4% year over year. Despite continued softness in market rents, Rexford's portfolio outperformed the overall market which experienced a decline of 4.7% sequentially and 12.1% year over year according to CBRE. The decline in Rexford's portfolio market rents was largely concentrated in spaces above 100,000 square feet which are experiencing some excess supply, in the submarkets of mid counties, North Orange County, and the Inland Empire West. In contrast, market rents for Rexford's smaller format spaces under 50,000 square feet continue to show relative resilience supported by limited supply comparable to our superior, highly functional product. Regarding the current leasing environment, at the start of the year, leasing activity had picked up as tenant requirements in the market were increasing. At the time of our last earnings call, we had activity on approximately 90% of our vacant spaces, representing a material pickup when compared to 2024. Since the recent tariff announcements, we have seen some tenants defer decision making amid increased economic uncertainty. We currently have leasing activity on approximately 80% of our vacant spaces, and while overall engagement remains healthy, it is difficult to predict the near-term impacts surrounding the tariffs, and overall levels of uncertainty. As Fitz will discuss in more detail, our guidance anticipates the potential for increased lease-up timing. Turning to capital allocation, by stabilizing assets at above-market yields, and selling properties at low cap rates, we are driving accretive cash flow growth and long-term value creation. By way of example, in the quarter, we stabilized five repositioning projects, totaling 560,000 square feet at a 7.6% unlevered yield and completed two dispositions totaling $103 million at exit cap rates in the low 4% area. Our capital allocation and recycling strategy will continue to be focused on maximizing returns and accretion. Our value-add repositioning redevelopments are a key driver of accretive growth with $70 million of incremental NOI expected in the near term from the 3.2 million square feet of projects under construction or in lease-up. Regarding dispositions, we currently have approximately $30 million of dispositions under contract or accepted offer subject to customary closing conditions. We have no acquisitions under contract or accepted offer. In closing, we are facing a heightened level of uncertainty related to the introduction of new tariffs. However, our portfolio continues to be well-positioned over the medium to longer term. We own a high-quality portfolio located in Infill, Southern California, where the long-term supply-demand imbalance will continue to persist making our portfolio even more valuable into the future. Our tenants serve the nation's largest regional population base. We are in one of the largest economies in the world, where leasing demand is driven by consumption. This is in contrast to larger format industrial product where demand is more closely linked to global trade flows. The health and diversity of our tenant base is strong. And we are seeing demand from a wide range of industries, including manufacturing, construction, defense and aerospace, and the warehousing and distribution of consumer staples, household goods, and food and beverage, to name a few. Our value-add focus starts accretive cash flow growth. We currently have over $230 million of projected incremental NOI embedded within our portfolio positioning us to grow shareholder value over the long term. We appreciate your continued support and look forward to sharing more progress in the quarters ahead. Now I'll turn the call over to Fitz.
Mike Fitzmorris: Thanks, Laura, and thank you everyone for joining. First, I'd like to thank our team for their commitment to excellence, and teamwork as we continue to focus on driving long-term value. First quarter results were in line with our expectations. Core FFO was $0.62 per share, representing 7% growth both sequentially and year over year. We recognized $0.04 of expected termination revenue that was tied to a couple of known tenant move-outs. We are maintaining our full-year 2025 core FFO outlook of $2.37 to $2.41 per share. Though we are closely monitoring market dynamics and will assess our outlook to the extent conditions may evolve. Overall, our underlying 2025 guidance assumptions remain intact, including the projected $15 million net NOI contribution from repositioning and redevelopment. Although our projected lease-up timing has increased to nine months from our prior expectations of eight months due to tariff disruption, and this was positively offset by some short-term lease extensions for properties otherwise planned for future repositioning or redevelopment. Reflecting recent changes in market rents, we've revised our leasing spread assumptions. We now expect net effective and cash leasing spreads of approximately 25% and 15%, respectively. This change will not have a material impact on our guidance as only 11% of our ABR is set to expire through year-end with most expiration weighted toward the second half of 2025. Our low leverage, investment-grade balance sheet positions us to be opportunistic while navigating market uncertainties. Today, we have more than $1.6 billion of liquidity, including $608 million of cash, and nearly full availability on our $1 billion unsecured line of credit. Since last quarter, we have further bolstered our balance sheet, reducing net debt to EBITDA by over a half turn to 3.9 times. Due to the settlement of $400 million of board equity that was raised at $49 per share in March 2024. During the quarter, we proactively initiated the recast of our credit facility to extend duration, lower interest expense, increase liquidity, and enhance flexibility. This includes the refinancing of our $400 million term loan positioning us with no significant maturities until 2027. We expect to close on our recast in May subject to customary closing conditions. We will continue to remain opportunistic with our debt maturities, focusing on duration and further lowering our cost of debt. And with that, I'll turn the call back to the operator and open the line for questions.
Operator: Thank you. If you would like to ask a question, please press star. Thank you. Our first question comes from Blaine Heck from Wells Fargo. Please go ahead. Your line is open.
Blaine Heck: Great. Thanks. So as you mentioned, market rents accelerated downward during the quarter, down 2.8% from 1.5% in Q4. Guess maybe putting aside the potential impact of tariffs on leasing demand for a moment, you know, do you have any better sense of how much further you'd expect rent to decline just based on how much excess in vacancy is on the market and how aggressive some of your competitors have been on pricing? And then, you know, I guess, if you were to factor in the tariffs, how much of an accelerant to rent moderation do you think a drawn-out trade disagreement could potentially present in your markets?
Laura Clark: Hey, Blaine. It's Laura. Thanks for joining us today. As you mentioned, we are seeing some nominal pressure on market rents. But we're certainly not giving away space in the market. And demand continues as represented by, as I mentioned in our prepared remarks, the current level. We've got activity on about 80% of our vacant spaces. And we actually have leasing of that leasing activity, we're actually trading paper on about 2.7 million square feet today alone. So while it's challenging to predict future rent growth, in the near term, as indicated, we only have about 11% of our portfolio rolling through year-end, and feel really good about the positioning of current activity given the uncertainty in the market. I also think it's important to note that demand is represented by a diverse array of tenants. That activity is made up of some of the larger drivers are the construction industries and trades, 3PLs, also including technology, manufacturing, entertainment, and apparel. So that diversity, the levels of demand as well as the diversity we're pleased with at this point in time. One more note I think that's important is our business model. Our business model has many levers of growth, embedded growth, that in a current environment, when there could be pressure and continued pressure on rents, allows us to continue to grow cash flow. We've got about $230 million of incremental NOI embedded in the portfolio today. About $60 million of that's the mark to market. About $70 million from our repositioning and redevelopments that are in process and in the pipeline. And then another $100 million from the annual embedded rent steps in our leases that's at 3.7%.
Michael Frankel: And Blaine, it's Michael. I'll just add a little bit to your question related to the impacts or potential impacts from the tariffs. And I'll start with reminding everyone about, you know, before the tariffs, the backdrop was actually looking relatively favorable. And we had an increase in tenant activity, and the pent-up demand that we felt might be coming back to the market felt tangible. And when the tariffs were announced, we did see a shift, as Laura mentioned earlier. And so our tenants are clearly sensitive about the prospect of what tariffs could bring. And the impacts of the tariffs, you know, there's a range of potential impacts to the extent they drive a change in trade flows. Our tenant base is relatively insulated. Nobody's perfectly insulated. As you know, our tenants are disproportionately serving regional consumption. And this is the largest zone of consumption in the country. And so we believe that does mitigate the impacts associated with trading, changing or shifting trade flows. To the extent that tariffs drive, you know, a reduction in overall consumer demand, clearly, that's something that our tenants are a little more worried about. And I think that, you know, our tenant base in terms of their behaviors, it is very sentiment-driven right now in terms of their expectations about the future. Because what they told us earlier this year is they're feeling pretty good about their underlying business, actually. And to the extent there is a drop-off in consumer demand, I think if we look back to prior cycles, again, we found that our infill Southern California tenant base has proven to be relatively resilient. Certainly more resilient, for example, than your big box non-infill markets. Where those spaces are more fungible, it's more of a commodity. And, our tenants tend to be far more sticky through downturns because our space because the extreme long-term scarcity of our space, the irreplaceable nature of our space, and the fact that it's very difficult for tenants to move and find the same, you know, they need to be near their endpoints of distribution, they need to be near the scope of labor. They need to be within the business ecosystem. And services that support their products and components. So a lot of factors that drive the relative stability of our infill tenant base even through cycles associated with reduced consumer demand.
Operator: Our next question comes from Sameer Khanal from Bank of America. Please go ahead. Your line is open.
Sameer Khanal: Yeah. Good morning, everybody. I guess, Mike, I know you talked about the lease-up. I think you talked about nine months instead of eight months. But maybe help us understand a little bit more about the low end of guidance here. I think given the uncertainty, everybody's trying to figure out maybe how much room or cushion there is for rents to fall, occupancy to fall as we think about, you know, kind of what PLD did. They sort of stress test their guidance. So, you know, walk us through that, please. Thanks.
Mike Fitzmorris: Sure. Sameer. Appreciate the question. And, again, congrats on the new role. Like any quarter, we're always desensitizing our earnings to the top end and to the bottom of the range. Obviously, this quarter took kind of a bit of a heightened focus for obvious reasons. But the way we looked at it is we, you know, we really sensitize our expectation to historical downturns, whether it be the pandemic, recent market run changes in Southern California, the GFC and the variables that we focused on were projected lease uptime for our repositioning, redevelopment, also market rent decline, bad debt expense, and same property occupancy. And we track those down to the historic downturns. Lows of the market, and we feel really, really good about where that gets us to in the bottom end of our range, so $2.37. And to your point embedded in our guidance is longer projected downtime of nine months, which is a full quarter beyond what historical norms are of six months. Then also bad debt. Bad debt is at 75 basis points, which is about double of what this portfolio has generated over the last six, seven years since 2018, 2019. So we feel really, really good about the range of possibilities on the downside.
Operator: Our next question comes from John Kim from BMO Capital Markets. Please go ahead. Your line is open.
John Kim: Thank you, and good morning. I was wondering if you could provide some more insight on the cash mark to market, oh, sorry, the cash leasing spreads this quarter, which went negative. And just looking at the leases that you signed this quarter, the average rent was $16.50. And comparing that versus your in-place ABR, it looks like it would suggest a negative mark to market. I'm wondering if you could just provide some more color on that.
Laura Clark: Yeah, John. I'll take that question. In terms of our new leasing spreads, I think it's important to note that this quarter only included about 280 square feet of comparable leases. So a very small sample set. Most of the new leasing activity we did this quarter was in our repositioning and redevelopments. Where you don't have comparable leasing spreads. So drilling into that negative 5% cash leasing spread for the quarter, it was primarily attributed to one lease that had an above-market rent that was related to some specialized improvements that were in that space. And then we leased that building as is. So it's really a unique circumstance with that lease, but again, a small sample size.
Operator: Our next question comes from Mike Mueller from JPMorgan. Please go ahead. Your line is open.
Mike Mueller: Yeah. Hi. I guess can you talk about the pace of redevelopment and repositioning starts for the next twelve months or so based on what you're seeing and expecting today and maybe how it compares to the past year or two?
Mike Fitzmorris: Sure, Mike. I'll take that question. In terms of what's coming online this year, we have about $30 million of incremental NOI relative to 2024. The first quarter, we experienced about $9 million of that $30 million. As we look through the remaining part of the year and second through the fourth quarter, it's going to be more back half weighted the additional $21 million or so. In terms of what's coming offline, that cadence has changed a bit from last quarter where we expected it to come offline predominantly in the first quarter first part of the second quarter. But today, we expect that to be more ratable throughout the year. So we had about $3 million come offline in the first quarter, and it'll be ratable to get to the $15 million coming offline for the full year in 2025. And so when you net those two together, you get to the $15 million net NOI contribution that we expect.
Operator: Our next question comes from Omo Tayo.
Omo Tayo: Yes. Good afternoon, guys. Could you talk a little bit about the lease terminations in 1Q, like, the nature of those tenants and how you just kind of thinking about the watch list today if there is one of potential tenants.
Mike Fitzmorris: Sure. Yeah. We did experience, as just alluded to, and I mentioned in the call about $9 million or so of termination revenue that was tied to two tenants and that was expected in line with our expectation. Laura, do you want to talk a bit about the color?
Laura Clark: Yeah. I think it's important to note that the majority of that termination income was tied actually to an office property that we acquired as part of a redevelopment plan. That property is zoned industrial. So the tenant that was occupying that space was an office user, not your traditional industrial user. We were able to negotiate a favorable term fee there. And now have the ability to move forward with the redevelopment plan in the future. And then in terms of bad debt, or bad debt assumptions for the year.
Mike Fitzmorris: Yeah. But, yeah, bad debt assumptions for the year. Yeah. We outsized growth in the first or outsized performance in the first quarter about $3.4 million, which is about 120 basis points. As we look through the remaining part of the year, it'll be between 50 and 55 basis points. Lines up with our 75 basis points expectation.
Operator: Our next question comes from Craig Mailman from Citi. Please go ahead. Your line is open.
Craig Mailman: Hey, everyone. This question may be a bit ironic or hypocritical, however you want to look at it, given that I've kind of asked you about selling assets over the last couple of years, and now you are doing it and being successful. I'm just kind of curious about the timing of it given you're sitting on $600 million, is there some were these more reverse inquiries that users want to buy these buildings? Or what's driving the uptick in disposition activity when acquisitions look a little bit less likely in the near term.
Howard Schwimmer: Hi, Craig. It's Howard. Thanks for the question. You know, we've always looked into the portfolio and considered dispositions. But we've, in the past, had such tremendous upside in rent growth that it was hard to justify a great majority of sales. And today, yes, those two dispositions we completed were unsolicited offers. And what was unique about those is that there were some owner users that came to us. And they paid an extraordinary premium for the two assets we sold. Those traded for an aggregate in the range of about a 4% cap rate. Which is really interesting when you consider in today's market that deals are trading in the mid-fours to 5% range. Or higher even and it depending on what the circumstances with above-market rent. In a portfolio. So great opportunity for us in terms of being able to recycle very accretively this capital.
Operator: Our next question comes from Greg MacKinnon from Scotiabank. Please go ahead. Your line is open.
Greg MacKinnon: Hey. Good morning. Looking at the average rent escalator signed during Q1. It was down to 3.6% as compared to 4% last year. Are you starting to see kind of pushback on the 4% escalators you've been able to achieve over the last couple of years?
Laura Clark: Hey, Greg. It's Laura. Yeah. Given some of the market dynamics and pressures on rents, we're certainly seeing some other components of the leases where there is pressure, but it's really concentrated by submarket. In certain size ranges. So looking into that 3.6% embedded rent steps, that was really focused around the spaces over 100,000 square feet where we saw rent steps averaging about 3.4%. Looking at our smaller format spaces, those rent steps are holding closer to 4%.
Operator: Our next question comes from Anthony Hau from Truist Securities. Please go ahead. Your line is open.
Anthony Hau: Hi, guys. Thanks for taking my question. Howard, I think you have highlighted that is the location of Pembroke in downturns. Can you help us, like, you know, better quantify that whether through occupancy, rent growth, or leasing velocity compared to a non-rental assets?
Howard Schwimmer: Sure. Yeah. Thanks for the question. It's really more of a scarcity for space. You know, Southern California is a fully built-out market. There's while we do have some construction that occurs in our tight infill markets, it's generally just to replace older dysfunctional product. So we're really not introducing any more supply. Whereas you look at many other markets around the country that have land, and, you know, you don't have any limits on growth in terms of construction. Land values tend to drop quickly. In tougher times, and competing product can enter the market and lower at lower prices than even existing product. So we don't have that dynamic in Southern California. And, you know, as we've sort of mentioned earlier in the call, you know, we're really a consumption-driven market with, you know, upwards of 24 million people here. It's really a different dynamic than you find in through cycles. We really generally haven't had a huge drop-off in occupancy. It's really more of just timing of leasing and so forth.
Operator: Our next question comes from Brendan Lynch from Barclays. Please go ahead. Your line is open.
Brendan Lynch: Great. Thanks for taking my question. I wanted to just dig in a little bit on your philosophy on the pace of redevelopment and repositioning. If we're entering a period of market weakness, is that would you be leaning into more redevelopment now? Would because there's a lower opportunity cost of taking assets offline?
Laura Clark: Hey, Brandon. Thanks for joining us today. You know, when we think about capital allocation, I mean, taking it back to our capital allocation strategy, we're focused on driving accretion and then long-term value. When we're considering repositioning and redevelopments, we're doing just that. On our repositionings, we're achieving high above-market incremental returns. You know, somewhere in the 15% area on the incremental returns on the incremental capital that we're investing into those assets. So not only is that driving accretive cash flow growth, but we're also enhancing the value of these assets over time. So to the extent that those repositioning and redevelopment opportunities that we have in the pipeline allow us to do that, you know, we think that it's prudent for us to continue to move forward, and that significant, you know, part of how we will continue to drive outsized cash flow per share growth.
Mike Fitzmorris: And what I'd if I would note there, just, you know, by way of example, what we experienced during the quarter, we didn't as Laura noted earlier in her prepared remarks, did stabilize about five projects. 560,000 square feet. Now that stabilized deal is about 7.6%, but on an incremental return perspective to line up with Laura Scott just a moment ago, that was 20%, which is the highest risk-adjusted return today and a great way to deploy our capital.
Operator: Our next question comes from Michael Griffin from Evercore ISI.
Michael Griffin: Great. Thanks. Wondering if you could give just a little more commentary on occupancy expectations. If I look at your kind of same-store quarter-end occupancy versus the total portfolio, it's a delta of about 600 basis points versus, you know, 400 basis points on average the four quarters before. So it seems like, you know, you're going to get toward that midpoint of the same-store average occupancy guidance. But, you know, should we see that spread narrow? Should we see it widen as we get throughout the year? Like, if there's any numbers you can kind of put around that, that would be helpful. Thank you.
Mike Fitzmorris: Yeah. Thanks for the question, Griff. Appreciate it. But, yeah, we ended the quarter for same property occupancy at what 95.7%. We should end at the same level, so it'll dip here in a second and third quarter. And then increase in the fourth quarter. You think about our portfolio occupancy, you know, it did take a dip about 170 basis points since last quarter, and that was primarily related to repositioning and redevelopments that we put into the active arena. And that should end the year, right around 90, 91% or so.
Operator: Our next question comes from Vikram Malhotra from Mizuho. Please go ahead. Your line is open.
Vikram Malhotra: Morning. Thanks for the question. I guess, you've alluded to sort of long-term value creation through development. But also look to the private market kind of being five or sub-five. So I'm just wondering, like, as you sell assets, like, how much could you sell? And then what about using proceeds for buybacks given kind of where the stock is? Relative to what you just said the private market is trading at?
Mike Fitzmorris: Yeah. Hi, Vikram. Good morning. This is Mike. First, you know, as you know, we're, you know, we're capital-intensive business. We have many competing uses of capital. The highest risk-adjusted returns that we're achieving today is we just noted on the previous question, is repositioning redevelopments. Like I said, we have five projects, earn a return on an incremental basis about 20%. We have $15 million of net NOI contribution. In 2025. This really positions Rexford up for our outsized growth over the medium and long term. As we think about it the $600 million of cash that we have sitting on the balance sheet offensive. An offensive position. We have an opportunity to be very patient and it goes back to our core tenants of how we think about our capital allocation. Philosophy, and that's accreted to earnings, balance sheet, NAV, and portfolio quality. And reinvesting inside our assets and improving the functionality is the best return that we're getting today. Now in terms of dispositions, today, we have about $30 million or so that is under contract. And beyond that, I think it's too early to give you guidance on what we could sell later in the year. But it is an attractive use of capital as Howard pointed out earlier where we're able to sell in the local 4% area.
Operator: Our last question today will come from Blaine Heck from Wells Fargo. Please go ahead. Your line is open.
Blaine Heck: Great. Thanks for taking the follow-up. Mike, it's helpful to hear you all went through a stress test on operating results and still feel good about the low end of FFO guidance. But I'm wondering if you can talk about some of the specific assumptions in that stress test as it relates to occupancy rents and bad debts and, you know, I guess, how you think that scenario would likely impact same-store numbers as well.
Mike Fitzmorris: Yeah. I can provide you with a little more insight there and I appreciate the follow-up question, Blaine. Like I mentioned earlier, the four variables that we look at are projected lease-up timing related to reposition or redevelopment. Market rent change, bad debt, and same property occupancy. That was released to core FFO. If you project another month of downtime or lease-up time, related to reposition or redevelopment, that's about a penny or so. Then market rent decline of 10% and 25 basis point increase to 100 basis points for bad debt. That's another penny and then same property occupancy. If we went down to where we were more towards the GFC of about 50 basis points. That's another half penny to a penny. So it gets you to the bottom end of the range for core FFO.
Operator: And we'll take one last question from Otayo Okusanya from Deutsche Bank. Please go ahead. Your line is open.
Otayo Okusanya: Yes. Thanks for squeezing me in. Could you guys talk a little bit about 3PL exposure within the portfolio just kind of given your markets generally a big agent API market.
Howard Schwimmer: Sure. Hi, Otayo. It's Howard. Well, first of all, we have very limited 3PL exposure in our portfolio. And, you know, today, we look at 3PLs in the market and they're, you know, turning out to be a great solution for a lot of the uncertainty that tenants have to expand, contract their needs, very quickly. And then to the other part of your question on some of the Asian 3PLs that are in the marketplace, you know, we've done a great job of really being selective on any tenant coming into our portfolio, whether it's a 3PL, manufacturer, distributor, we're very thorough in our credit analysis. And to be honest with you, we turned down many tenants that we don't actually want to bring into the portfolio. You know, that said, we do have some Asian 3PL companies, but they're very well established in the market. They've been around for a long time. They have solid businesses. And, you know, we may expand them or we may, you know, we're actually negotiating a deal right now on a 190,000-foot building with a Chinese 3PL that's been in the market a long time and has a good credit profile. What you hear in the marketplace are some of these 3PLs coming to the market that have no credit. And people, because they have vacancy, and are in dire need for occupancy or are taking some of those, and those are highly risky and are not the type of uses that we're going to ever put into the actual portfolio.
Operator: This will conclude today's Q&A session. I would like to turn the call back over to Laura Clark for closing remarks.
Laura Clark: Rexford delivered strong first quarter performance and that underscores the power of our platform and the rigor of our execution. In the face of ongoing uncertainty today, positions us to navigate through these near-term headwinds and to deliver long-term value. We thank you all for your time with Rexford today.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.
Mike Fitzmorris: And we're now in private. Have a great day everyone.